Nicolai Thomsen: Good morning, everyone, and welcome to the conference call for Ambu's Q3 results. I'm Nikolai Thompsen from the Investor Relations team. I'm here with our CEO Britt Meelby Jensen, and our CFO Thomas Frederik Schmidt. Today's presentation can be found on our homepage, and there will be a Q&A session at the end of the call.  And with that brief introduction, I'm very happy to hand over the word to our CEO, Britt Meelby Jensen.
Britt Meelby Jensen: Good morning, everyone. Hope you're well, nice to have you on the call for this Q3 results. For those of you who may not know me, I've spent over 20 years in healthcare in senior leadership positions at Novo Nordisk as CEO of Dako, Zealand Pharma and most recently as CEO of Atos Medical. Also, I've been on the Board of Directors of Ambu for almost three years.
Thomas Frederik Schmidt: Good morning, and also a warm welcome from my side as well. My background is, I'm a Chartered Accountant by training and have for more than 20 years been both living and working abroad, across Europe and Asia Pacific. Most of my career I've spent in the Roche Group in various financial leadership roles, and most recently as General Manager of the Roche Pharma, Switzerland business. I'm very excited to have my first quarterly earnings call today with my new role as CFO of Ambu.
Britt Meelby Jensen: Thank you, Thomas. And today's call is the first conference call that is hosted by, Thomas and I, as new management. And I'll cover the first two agenda items. On the status today, I'll share a few reflections on the business and an overview of initiatives that we've taken to improve business performance. On the business update, I'll talk about third quarter performance, and I'll give an update on the different Visualization segments. Hereafter, Thomas will go through the financials and the guidance for the full year, which is maintained on the back of the revised guidance that we provided on the 3rd of August. And then at the end, we'll open up for questions.  So I'm passionate about working in healthcare and I joined Ambu because I'm excited about the opportunity we have to influence the way endoscopy is performed, providing a safer alternative to patients, and solutions to support our healthcare system in providing better care. So there are three things that gives me great confidence in our future abilities to succeed.  First is, how the single-use endoscopy market is growing. Penetration in existing segments is increasing and new products have potential to expand our addressable market. Secondly, I believe Ambu is well positioned to strengthen our world's leading position with our high quality portfolio covering all four major endoscopy segments.  We have years of experience as we were among the first to enter the single-use endoscopy market. And we have 85 years of history of saving lives and making a difference in healthcare. Thirdly, we have opportunities to do better. Our profitability and cash flow are under pressure. We have invested significantly, which has both strengthened our pipeline and our commercial footprint, and it has deepened our expertise. So there's a lot to build on.  But my team and I are committed to improve how we execute. We'll take a more focused approach in where we invest, to make a big difference for our customers and not least to drive growth and improve long term profitability. We are in the process of assessing our strategy and future priorities. We'll take our time to get it right and therefore plan to communicate our conclusions in November this year. But we have taken some action.  As Thomas and I joined Ambu, we took a hard look at the business. We identified opportunities and improvements and we are happy about the initiatives we have taken some of which were announced early August. The first thing we said we would do was to strengthen our financial position and flexibility. We announced a cost reduction program with DKK 250 million in annual savings from next fiscal year. Here are two-thirds CapEx and one-third OpEx. It's progressing as planned, taking local regulations into account and we have completed 70% of the planned workforce reductions.  Then we said we would address pricing, we have adjusted our pricing practices to reduce the level of discounts and rebates, which is being implemented and it will have a negative financial revenue impact of DKK 40 million in the last quarter of this financial year. Pricing is a key priority for us and we're reviewing our pricing approach across all segments and for new product launches, where we want to make sure we reflect the new cost situation as well as the level of innovation we bring to market.  Finally, we're focused on improving long-term profitability. We've kicked off initiatives to improve our efficiency, such as increased use of shared services and inventory management to name a few.  Let's look at the Q3 results. In Q3, we delivered 8% organic growth, 16% on a reported basis, mainly due to the appreciation of the US dollar against the Danish kroner. We report an EBIT margin of 3.7% for the quarter compared to 9% in Q3 last year, mainly driven down by a higher distribution cost ramp up in Mexico and inventory write down. I'd like to make a few remarks also about the environment where we're experiencing some of the same dynamics as highlighted by most companies in our industry. Rising inflation and interest rates, COVID lockdown in China, and disrupted supply chain are all elements that affect our company, and in particular, manufacturing and distribution costs.  Our focus is to become more resilient as we face continued macroeconomic uncertainties. And we're implementing different measures to secure this, for example, on pricing, as I mentioned a few minutes ago, and on cost and inventory management. But we do continue to create value for our customers and the patients we serve. And I'd like to emphasize the double digit growth in ENT and cystoscopy as well as Anesthesia and PMD.  Now, let me talk about the different segments that we operate in. We are excited about the comprehensive Visualization pipeline, which builds on 15 years of development, manufacturing and commercialization of high quality single-use endoscopes. We are at present in the four largest endoscopy segments today. ENT, pulmonary, GI, and urology and we see significant growth opportunities across all segments.  On this picture, you see the key products highlighted. And in addition to this, we also have products in development that will expand the total addressable market. We've made progress across all segments, which I'll get into on the next page, starting off with our biggest of the Visualization segments, pulmonology. We were excited to receive FDA clearance on aScope 5 Broncho in July. It's now approved in US, Europe and Australia. And the commercial launch is gradually ramping up with customer trials.  It's still early in the launch, but we get the expected positive feedback that aScope 5 Broncho is suitable and accepted for advanced procedures which are performed in the bronchoscopy suite and thereby we are expanding our total addressable market. aScope 4 will remain in the market as it continues to be an attractive product. And if we look at the total pulmonology market, I feel very confident that we are well positioned for growth, which will in the future be accelerated by the launch of our new Video Laryngoscope 2.0 as well as additional sizes of aScope 5 Bronco.  Moving on to the ENT segment, this is a market we expanded into back in 2018-19. The success over the last three years has been impressive in this segment where we did not have experience. In April we expanded the addressable market as we got approval to target fees procedures. These are procedures to evaluate swallowing, and they're typically at a higher reimbursement level, which is a key driver for adoption of single-use endoscopes.  Urology was also an unknown territory for us and when we launched aScope 4 Cysto back in 2019-20. The product has seen and continues to see rapid adoption and is a key growth driver. We plan to expand into ureteroscopy as an attractive market which will further strengthen our footprint in urology.  So let me round off with GI, this is the largest endoscopy segment. It's also a segment that is new for us when we entered with our duodenoscope, and where we are now excited to launch our second product, aScope Gastro which has been approved in US, Europe, and Australia. With the gastroscope we’re in the early commercial launch phase where customers have trialed the gastroscope with overwhelmingly positive feedback.  For aScope Duodeno, the uptake has been slower than we expected. This has especially been driven by the fact that the ERCP procedures, they are clinically complex relative to other procedures, and that leads to higher performance requirements and also lower willingness among physicians to change their practice. Over time, we still expect this market to convert single-use, but we expect it will likely be a more gradual uptake compared to other segments. We are advancing our aScope Duodeno platform with aScope Duodeno 2.0 in development.  Finally, we're aiming to expand into more GI procedures such as laryngoscopy, where the single use market already exists, and colonoscopy where we will be first mover.  So with this update, I'll now hand it over to Thomas who will take us through the financials.
Thomas Frederik Schmidt : Thank you, Britt. As mentioned, we, Britt and I, since our start and over the past months, we've worked intensively conducting a more detailed review of the business performance, which has led to three initiatives, as mentioned. One was the cost reduction program; two, the change in pricing practices; and three, further initiatives to improve efficiencies. And together with the leadership team, the identified opportunities will certainly strengthen our financial performance and our cash flow position and will serve as the first building blocks to ensure long term success for Ambu with high and profitable revenue growth for the next many years.  With a more focused approach in our innovation and commercialization and with more rigor in our cost management, it’s our clear ambition to build a highly profitable company with a high return on invested capital. And our reported growth for Q3 is 16%, which corresponds to the 8% organic growth and in addition to that, a positive currency impact, primarily driven by the strong appreciation of the US Dollar versus the Danish kroner.  The dollar has appreciated 13% versus same period last year. And as more than half of our commercial revenues are invoiced in dollar, this strong appreciation of the dollar certainly has a positive impact on our reported growth. And strong growth we've seen in our ENT and urology business, as Q3 was another solid quarter with double digit growth across all regions. The growth was offset by decline in our bronchoscopy business, which represents our largest Visualization segment, which again means, the Visualization revenue for the quarter was flat with an organic growth of 0%.  However, it's important to note that our total bronchoscopy revenue has grown 75% compared to pre-COVID, which reflects the significant growth of single-use bronchoscopy has had over the period. The segment performance in Q3 and for that matter for the full financial year is impacted by high COVID comparables, in-market inventories as customers have built stocks during the omicron wave in particular in Europe, where we've seen a decline of 25% compared to Q3 last year.  In the US, we've been negatively impacted by lower ICU admissions and increased competition. However, with markets normalizing post-COVID and with our newly launched aScope 5 Bronco, it's our expectation that we will -- we can continue to grow and build our position as the leading single-use player with both OR ICU -- within both OR ICU and bronchoscopy suite.  Our Anaesthesia and Patient Monitoring & Diagnostics business continued strong growth with 14% and 20% respectively, and with double-digit growth in all regions. Both business areas are positively impacted by pent-up demand and the continued reduction of our backlog orders. To get a sense of the growth on a normalized basis, these two areas combined have delivered a three year compounded annual growth rate of 5%.  Looking at our regions, and from a regional perspective, North America certainly has shown a very strong double-digit growth rate of 16% with growth in all business areas. Europe also posted a solid growth of 4% as mentioned, on the back of the decline in bronchoscopy. Rest of the world markets declined 4%, heavily impacted by the lockdown in China and in-market inventories levels that has been normalized and are being normalized. In addition to the change in sales mix, the main elements impacting our EBIT margin for the quarter as seen in the gross margin, and relate to three key elements. One is higher distribution cost, two is cost related to our Mexico production site ramp-up and three is inventory write down. The latter is more one-off in nature, as it relates to our voluntary recall of VivaSight. Ramp up cost reduced our margin, however, once our Mexico plant is in full operations, it will improve our production cost and lower our distribution cost into the US market and thereby benefiting our distribution cost.  And our overall distribution cost is certainly a focus of ours. And one of our efficiency improvement initiatives we have started where we will and we are improving our processes and cost base in order to lower our overall distribution cost and also to reduce the need of air freight. So we are taking active steps to improve our EBIT margin at the current level, certainly is not where we would want it to be. The initiatives we have started and as mentioned, has the very clear ambition of increasing our profitability level and to improve our cash flow and thus providing more financial flexibility and enabling us to finance our innovation engine and our continued growth.  I'm certainly not satisfied with the current EBIT, cash flow and gearing levels that we have. We are therefore addressing this with the cost reduction program and actions already taken. And combined with, again, more rigor in our project and cost management, we will improve our gearing ratio over the course of next financial year, to be at a much healthier level for us, as a high growth company.  We are very aware and also very focused on what needs improving and when looking at the past year decline in margin, that certainly shows. And in order to achieve the free cash flow where we aim for, we are committed to improve EBITDA, net working capital, and also our CapEx. The cost reduction program, our change in pricing practice and efficiency initiatives are set to improve our EBITDA. Net working capital, we have initiatives targeting the entire net working capital from inventory to S&OP, to vendor and supplier management, and trade receivables. So that will certainly also be a key focus of ours.  And we will continue to invest in R&D and continue to invest into our exciting pipeline to ensure that we bring innovative products to the market and to our customers. We will invest in line with our peers within the med tech industry. And I'm convinced we'll be able with this to improve across all areas and thus improve our free cash flow and thereby creating the necessary financial flexibility needed. The improvements will be seen during the full next financial year.  Finally, our financial guidance for the full year ’21-’22 is maintained compared to the revised guidance we announced on August 3. For the full year, we continue to expect an organic growth -- revenue growth of no less than 4% and EBIT margin before special items is expected to be no less than 2%. The financial guidance builds on high single-digit organic growth in the combined Anaesthesia and Patient Monitoring & Diagnostics business as well as expectations of more than 700,000 endoscopes sold for ENT and cystoscopy. With that financial recap, let me get the word back to you, Britt.
Britt Meelby Jensen : Thank you, Thomas. So there are many reasons why I'm confident in this business generating solid growth and long term profitability and being a solid investment. So I'll leave you will three key messages before we open up for questions. First and foremost, we remain ambitious, and we are confident that Ambu is well positioned to strengthen our leading position in single-use endoscopy. Secondly, we have a fantastic portfolio and pipeline, and a solid commercial footprint in key geographies across the four major endoscopy segments.  Finally, we have a great foundation to build on for future success. But as you've heard, we are focused on improving our business in a number of areas to secure the sustainable growth and higher long term profitability. And we are addressing this now.  So thanks for listening, and I hereby open up for our questions.
A - Britt Meelby Jensen : I believe we've lost our moderator. So I suggest we open up for questions. I'm not sure who's in the queue. So please state your name as the mic opens. 
Benjamin Silverstone: Are you open? Hi, this is Benjamin Silverstone from ABG.
Britt Meelby Jensen : Your question, Benjamin?
Benjamin Silverstone: Thank you. Hi Britt and Thomas, thanks for taking my questions. So my first question is for you, Thomas, regarding the payables. They seem to be up around 60% year-on-year, I was just wondering if you could please give an indication of what is driving this increase? And how would you think about this in terms of the current capital position of Ambu? So is this because you have sort of lengthened your terms with your suppliers, and when would this sort of expect to reverse?  The second question is in terms of the sequential decline seen in the Visualization sales in Europe. So you do mention that there obviously been a decline in bronchoscopes, which I think is very understandable. But could you just elaborate a little bit about how you see potential destocking in Europe and also when you would expect this sort of sequential decline Europe, this trend to sort of reverse as well?  And then lastly, it would be much appreciated if you could just give us an indication or an update on how August has been trending so far. Thank you so much.
Thomas Frederik Schmidt: Thank you, Benjamin. And let me maybe then start with your first questions around payment. So first and foremost, let me just reiterate, our current net working capital, our cash flow, and our EBITDA is certainly not where I would want it to be. So that's why we are focusing on how we improve the entire, in all three elements, and to improve our cash flow position. Regarding payments, we are certainly also looking at that and negotiating both with, as mentioned with suppliers and vendors. And there are some one-off effects from a timing perspective in Q3 that certainly benefits our cash flow position. But our focus will remain in terms of improving the cash flow position. And on the topic of Visualization, maybe Britt, you would want to answer that?
Britt Meelby Jensen : Yes, I’ll comment on that. So, if we look at the Broncho sales in Europe, it's true that it's partly related to stocking with customers, as we saw a high buying of bronchoscopes in connection with the Omicron wave, which we're not used. But other than that, it's related to consumption and we see a significant -- we saw a significant increase in usage driven by COVID and that's now normalizing. And if we look at it overall and focus only on Europe, 65% growth in bronchoscopy relative to pre-COVID, so we have seen a significant uptick in that area and the number is 75% on a global level. So therefore, we also as we look ahead, we do see the market coming back to normalization, but at higher single-use penetration that we saw pre-COVID.
Thomas Frederik Schmidt: Let me maybe just comment, I think the last question was, how are we trading in August? So today, our full focus is on Q3, and we're not making comments on the trading in August, that will have to wait until our full financial year.
Benjamin Silverstone: That is perfectly understandable. Thank you, so much.
Thomas Frederik Schmidt: Next question. So please state your name and the questions?
Operator: Your next question comes from Thomas Bowers from Danske Bank.
Thomas Bowers : Yes, thank you very much. So I hope you can hear me. So I’ll just kick off with the sort of the longer term growth outlook here. So, right now consensus is around 10% for next year. I know you haven't guided yet. But Thomas, on the call here, you state that Ambu as a high growth company, when you’re addressing the gearing level. So I'm just wondering, what does this mean? Does this imply that you already see Ambu as a high growth company again next year and is high growth is that double-digit or in sort of your mindset?  And then maybe just on a question to gross margin. And I'm just wondering if you see more headwinds here, going into the fourth quarter, so quarter-on-quarter here? And then I'm just wondering in regards to the cost cutting program, now you have completed 70%, as you stated in the report. And I'm just wondering, whether you have identified more potential to this cost cutting program with the high focus you have on cash flow.  And then maybe just a last question, before I jump back into the queue. So just on the legacy business, I assume that you still look to a 3% to 5% growth potential. You also mentioned the CAGR of 5% over the last three years, so in the high end of that. So I'm just wondering, given all the order backlogs and the pent-up demand, is the current level for the legacy business, is that sort of the base from now on onwards? Or is there still going to be some volatility in the fourth quarter? Thank you.
Thomas Frederik Schmidt: Thank you, Thomas. So let me start, at least from the top with the questions that you have asked. And yes, we certainly have set ourselves the ambition, and that's also where the cost reduction program starts, that we have the ambition to continue with Ambu as a high growth company. I think our business not only deserve that, but also shows the possibility that we can do that. And our pipeline certainly also confirms that. Now that requires a lot of focus, and that's where the cost reduction program basically starts. So that we are certain and fully committed to.  And your second question was around gross margin and the question towards Q4 as I noted and potential headwind in Q4. We expect the gross margin in Q4 to be in line with Q3, so no bigger deviations to that number. The third question you had, I noted was around our cost reduction program and the question to the 70% that we have achieved up until now. So and I think we've achieved fast and efficiently a big portion of the communicated DKK 250 million saving.  We, of course, still have to do a lot of work in pulling that through. But there are certainly opportunities to drive further operational efficiencies. So that was the third point that both Britt and I also mentioned, that we have initiatives that will drive further operational efficiencies through the full next year also.
Thomas Bowers : So yeah, you’re meaning beyond the DKK 250 million, right?
Thomas Frederik Schmidt: Yes, yes. 
Thomas Bowers : Yes, understood. 
Thomas Frederik Schmidt: So we have a cost reduction program as one, second is the price factors that we will change and the third is further operational efficiency initiatives, so, yes. And then your fourth -- the fourth question, I believe you had was around our legacy business, so being Anaesthesia and Patient Monitoring & Diagnostics business. And we, I mean, for January, of course, we don't comment on the outlook for next year, but we have communicated for the full year that we expect low single-digit growth within that business. So and --
Britt Meelby Jensen : And you can say for this year, I mean, the expectation is slightly higher as we come back from COVID. So we are more in the high single-digit range for this year. 
Thomas Frederik Schmidt: Oh, sorry. 
Britt Meelby Jensen: Yeah, exactly. But I mean, on an ongoing basis, we expect to continue to grow in line with the market, so that is more a long term, more a low single-digit growth. But this year, we've seen a strong increase as we're coming back from COVID. And maybe Thomas, also to add from my side, on the cost reductions, I mean, we are not planning any more headcount reduction programs as what we have seen and what we have also announced this that the majority of these have already been completed. So we will continue now to move into how we strengthen our execution and our efficiencies in the business where as Thomas said that there are clear opportunities that we are working on now.
Thomas Bowers : Okay, great. Thank you very much.
Operator: And our next question comes from [Joe Everett] from SEB.
Unidentified Analyst: Hi, good morning. Thank you for taking my question. I have three here. Firstly, is it possible to elaborate a bit on the dynamics in the bronchoscope business. And especially on aScope 5, we can see a big decline here. I understand there is tough comp and also the [indiscernible] destocking. But then you also mentioned the increasing competition. And I recall last time you mentioned you will refocus on this business. Could you elaborate a bit on initiatives to regain market share in the bronchoscope? I’ll do one question at a time. Thank you.
Britt Meelby Jensen: Hey, thank you and thanks for that question. I'll take that. So it's very clear that the bronchoscopy segment, our pulmonary segment is the first segment we are in. We see that as an attractive segment where we have, as mentioned, on a global level we are at a -- we have grown 75% compared to pre-COVID, so definitely an attractive segment. The dynamics we see this year, it's mainly three things that is explaining the decline. The first one is around the COVID comparable. We had a high COVID comparable and customers in particular in Europe started, they stocked up quite significant with the omicron wave which then showed not to be that severe that they had planned for, so that's where they are this year using some of their own inventories. The second dynamic that is affecting us is the lower ICU admissions that we see in hospitals across actually both the US and Europe.  And then the third point that you're talking about here is competition. And that's what -- where we see mainly competition in the US, primarily Verizon and Boston Scientific coming in. And I believe this is a natural thing to expect when you've been leading in a market that is growing for many years, that attracts competition. What we are doing in terms of that is that we have, I mean, we have as you know, been very focused on the GI segment. And that's where we have made a shift in our resources to focus back more on pulmonology. And in all fairness, I would say that the management focus a lot on GI. You may have heard our focus a bit in the pulmonary segment, which is our largest segment and a segment we're very committed to.  Then in terms of the aScope 5 Broncho, that’s in our view a very interesting product. It's a product, and you should see it like it's the fifth generation of the bronchoscope. The performance of this product is significantly higher than what we have seen with the aScope 4, so that also means that it's now possible to use it to meet the quality standards, if you will, in the bronchosopy suites which we were not able to do before. And this is where they do the more advanced procedures. So you can say this product expands the total addressable market that we have in pulmonology. And we're very excited to launch this and penetrate that new market.  We also know that the aScope 4 is suitable for many of the procedures that it’s used for now. So that's why we are keeping that in the market. And then the aScope 5 is at a price premium to aScope 4 because it can be used and yeah, brought on to more advanced procedures. So I hope that gives a little more an understanding of what we see and with the bronchoscope. I should maybe mention that our position as market leading in this area will also be strengthened as we launch the Video Laryngoscope, a product that is highly asked for by our customers in the US in particular.
Unidentified Analyst: Agreed, that’s very helpful. And my second question here is regarding new Mexico plant. And are you using a new product lines or production lines that will be set up in the coming months? And could you remind us or maybe give us an indication on how much production volume do you plan to produce next year in Mexico plant?
Britt Meelby Jensen: Yeah, thanks for that. So it is true. I mean, we are very focused on Mexico. We have completed the plant in Mexico and have started producing there. So we -- what we expect right now is that we'll have products shipped to US customers from Mexico in 2022. What we're waiting for right now is the external sterilization verification. So we are very close to that. It's a tough modern site and will definitely help improve our cost in particular serving the US market. The production lines that we are setting up there is for bronchoscopes, ENT and cystoscopes, right now and then also for some of the products in Anaesthesia and PMD such as the face masks and resuscitators. And we have a build a factory there with ample capacity, so we expect that we should many years ahead be able to serve the US market from this factory. So we remain very excited about this and also the opportunity to have more attractive cost from products coming out of that plant.
Unidentified Analyst: Great. Is it possible to give us an indication on how much percentage of the production for the Visualization you plan to do in Mexico next year?
Britt Meelby Jensen: Sorry, sorry, I didn't answer that. I think right now we are not able to comment on the volumes from Mexico next year. But what I can say is that, I mean, we have started the production now and we will ramp up next year, for sure.
Unidentified Analyst: Okay, fair enough. And lastly, it's been several months, since you launched the commercial launched the gastroscope. Could you maybe elaborate a bit on the initial uptake?
Britt Meelby Jensen: Yes, I'll do that. And maybe just quickly, I think we are overall very positive around the gastroscope. And you should see the gastroscope as a product that address much simpler procedures than, for example, we see with the duodenoscope. So it's a completely different dynamic we have. When we launch products, what we do is typically after approval, we do trials with the customers, for them to use the product in patients that we have done successfully. We started in US earlier this spring, and now in Europe. And then after that, we -- it takes a couple of months before it goes through the valuation committees at the hospitals in order to get on the list and we can sell fully and that it typically takes anywhere from zero to six months. So we do see, we are in that and in some places through that and see customers starting to order. So we see a very healthy uptake. But I think it is also very important that I mean that we understand the dynamics in the first six months after approval that it is gradual as we are working through the committee's at the hospital. But our focus is clearly for the gastroscope and OR and our value proposition is very strong there. And that is also what we have proven in the last months as we have the product out there. So we're very encouraged by that overall.
Unidentified Analyst: Great, very helpful, thank you. I’ll jump back to the queue.
Operator: And our next question comes from Niels Leth from Carnegie. 
Niels Leth : Hi, good morning. First question, on your cash flow for quarter four, so would you expect to continue the positive trend of cash flow generation in quarter four? Or should we expect a negative effect from the restructurings that you are currently doing? And then as kind of a connected question to your cash flow. Would you see any and perhaps you could talk about your debt covenants? As far as I remember, you do have debt covenants but have you been able to renegotiate them or have you not been in breach of those debt covenants during this fiscal year? And then thirdly on your new strategy, so are you able to confirm that you aim to keep your GI business and that you intend to distribute and sell the GI products using your own sales force going forward? Thank you.
Britt Meelby Jensen: Thanks, Niels. And maybe I'll start with a third question and let Thomas comment on your question one and two. So I think it's given we are going through the strategy review and wants to take our time to get it right, I think it's a little premature to make any final conclusions on the GI segment. However, I would say based on the learnings that we have so far, what we have done is that we have in connection with the cost reduction program, right sized our GI sales force and we are also being very targeted in our approach both when it comes to key geographies and when it comes to the key target segments in those countries.  So I believe right now we have a good opportunity to engage with the most relevant customers, ourselves. And then there's, of course, different things to consider when you consider partnering. There are clear pros and cons. Also favorites or being favorable to stay in full control in a segment where we have established good customer relationships and learned a lot but I will not comment on any conclusions but right now, we see that there's a lot of the learnings we have from our experience so far that we can leverage and then leveraging also the GI sales force with our gastroscope. And as I mentioned, finally, overall in GI we see that I mean, it's the largest in the endoscopy segment, so we do see a strong portfolio -- strong potential in this overall segment. Thomas, do you want to comment on the cash flow?
Thomas Frederik Schmidt: Yes. And thank you for the questions Niels. And firstly, to question on the cash flow, what I would say around Q4 is that or sorry, around Q3 first and foremost is, as mentioned that there are some one-off elements that we have taken in and benefit from in Q3. So certainly in Q4 and also with the restructuring plans and some of the costs that are coming in from the restructuring plans or the cost reduction plan, will also have a cash flow impact, which I would expect turns again in Q4 into the negative.  But let me reiterate once again, full -- our full and my full focus is on our cash flow. And we're working hard in order to get to eventually positive cash flows. But from Q4 perspective, I would not expect that we -- that we come out with positive cash flows in Q4. But looking into next year, the target is certainly to become cash flow neutral with positive cash flow towards the end of next year.  And your second question was around debt covenants. And my only comment to that would be that we are working and have agreements with our banks, and they are in full support of both our situation and the decisions and elements that we have taken already. So there's absolutely no issue on that side.
Niels Leth : Thank you, Thomas. So when you say that you are aiming for positive cash flow towards the end of next year, it doesn't mean that you would expect positive free cash flows for the full year ’23 even? 
Thomas Frederik Schmidt: No. So our, again, our target is that we -- that we get to positive cash flow. So but on the short or midterm it is first to turn the negative into neutral in order to then turn it into positive. So that's the steps that we're taking. So that's the direction.
Niels Leth : Okay. Thank you.
Operator: Our next question comes from Rickard Anderkrans from -- and please state your company?
Rickard Anderkrans : Good morning, Rickard Anderkrans here calling from Handelsbanken. Just a quick question from my side, on the changed sort of pricing strategy, can you share any early feedback on the customer side and perhaps also what the sales reps, and how they've been taking it and just some early signals if there's been any change? And if also you could comment on how the pricing practices that you now implement, how they sort of compare to the most important competitors in the market? Thank you.
Britt Meelby Jensen: So, I can comment on that. So all-in-all, we -- I mean, we have a higher quality product portfolio that we also believe that should be priced at that level while still of course being competitive in the market and for our customers. I mean, the initiatives that we have taken around pricing and which we also announced was that we have had, I mean, we have had, as many companies have a practice of discounting and rebating. And that is one that we will be less aggressive on the rebating and the discounting as we have had before and I think that's not so different then and not a big surprise and not so different than what we see in the market among other customers. So we want to be more at the levels that where we set a price that's also close to that price that we sell to our customers. So that will and what that will give us from a company perspective is more sustainable and predictable growth which we believe is very important.  Then, I think as other colleagues in our industry, with the rising cost levels that we see, I mean, we clearly need to assess the prices that we have because our costs are going up, and we need to evaluate how we should then, we set our prices both on the existing products we have, where we’re, of course, partly bound by contracts but also have other opportunities. And then when we launch new products, that we make sure that we have a good understanding of our new cost situation as well as the level of innovation we bring. So that's how we focus.  In terms of what I mean the reception internally, on the discounting and rebating, I mean, that has been positively received, I will say because this is more about selling to the customers in a different way than what we have done before. And that compares also to what, I mean we’re used to from the market. So I don't expect any disruption for our sales force or for our end customers.
Rickard Anderkrans : That's very helpful. Thank you very much.
Operator: [Operator Instructions] And it appears we have no further questions at this time. I will now turn the program back over to the speakers. 
Britt Meelby Jensen: Okay, thank you very much then. What’s left for me is to say thanks for listening in today and for the questions and I wish everyone a great day.
Operator: This does conclude today's conference. Thank you for your participation. You may now disconnect. Have a great day.